Operator: Good morning. My name is Joelle, and I will be your conference operator today. At this time I would like to welcome everyone to Fiera Capital's Earnings Call to Discuss Financial Results for the Third Quarter of 2023.  All lines have been placed on mute to prevent any background noise. After the speaker's prepared remarks, there will be a question-and-answer period. As a reminder, this conference call is being recorded. [Operator Instructions] Thank you.  I will now turn over the conference to Ms. Marie-France Guay, Senior Vice President, Treasury and Investor Relations. Ms. Guay, you may begin your conference. 
Marie-France Guay : Thank you. Good morning, everyone. [Foreign Language]. Welcome to the Fiera Capital Conference Call to discuss our financial results for the third quarter of 2023. Note that today's call will be held in English.  Before we begin, I invite you to download a copy of today's presentation, which can be found on the Investor Relations section of our website at ir.fieracapital.com. Also note that comments made on today's call, including replies to certain questions, may deal with forward-looking statements, which are subject to risks and uncertainties that may cause actual results to differ from expectations. I would ask you to take a moment to read the forward-looking statements on page two of the presentation.  On today's call, we will discuss our Q3, 2023 results, starting with an update on our AUM flows, followed by our highlights of our public and private market platforms, as well as our private wealth business. We will then review our financial performance.  Our speakers today are Mr. Jean-Guy Desjardins, Chairman of the Board and Chief Executive Officer, and Mr. Lucas Pontillo, Executive Director and Global Chief Financial Officer. Also available to answer questions following the prepared remarks will be Jean Michel, President and Chief Investment Officer, Public Markets.  With that, I will now turn the call over to Jean-Guy. 
Jean-Guy Desjardins: Thank you, Marie-France. Good morning, everyone, and thank you for joining us today. Firstly, I would like to provide an update on the evolution of our restructured distribution model.  We have recently announced the appointment of Eric Roberts as Executive Director and CEO, Fiera USA and this follows the appointment of Klaus Schuster to the role of Regional CEO of Europe, Middle East and Africa; and of Rob Petty, as Regional CEO of Asia. We have also recently completed the search for a Regional CEO of Fiera Canada, and we expect to be in a position to announce the selected candidate before year end.  These appointments allow us to expand and strengthen our presence in each of our geographies as we continue to focus on building local capabilities and being closer to our clients. We expect a significant impact on our new business growth from this reset and decentralized distribution model.  Now moving to the third quarter market backdrop and its impact on our assets under management. The resiliency of the global economy was challenged in the third quarter of 2023 as the burden of monetary tightening waits on economic growth. Although inflation has been declining, the core component and wage inflation remains sticky, supporting expectations of further downside risks ahead for the economy and sustain high interest rates.  The gains experienced since the start of the year in the equity markets were eroded in the last few weeks of September with U.S., Canadian and international equities posting negative returns for the quarter. The negative returns were even more pronounced in fixed income markets where we saw a dramatic shift in the yield curve as the market digested that rates would be higher for longer and pushed out expectations of future rate cuts.  So against this landscape, we reported assets under management of $155.3 billion at September 30th, a drop of 5.4% or $8.9 billion versus that reported on June 30th. Assets under management in our private market division remained essentially flat at $18.8 billion as new mandates were by and large offset by return on capital and income distributions. We continue to see positive net organic growth into our private market strategies for this year.  As such, the drop in assets under management in the quarter was entirely felt in our public markets division. Over half of the $8.8 billion reduction is attributable to unfavorable market returns totaling $4.8 billion, of which $3 billion is related to fixed income due to the re-steepening of the yield curve adversely affecting our longer duration fixed income and LDI mandates. We also saw negative growth as investors rebalanced and de-risked their portfolios in expectation of economic weakness and further volatility across equity and fixed income markets.  Of the $3.5 billion in negative organic growth in our public market division in the quarter, $3.1 billion was related to PineStone's sub-advised assets under management. Of this, $1.1 billion was transferred directly to PineStone and $1.8 billion related to lost mandates from clients exiting global and U.S. equity strategies entirely. The remaining $200 million related to negative net contribution from client rebalancing.  On a year-to-date basis, assets under management decreased by $3.2 billion, while favorable market increased assets under management by $6 billion. This was offset by negative organic growth of $8.3 billion, primarily in public markets. In addition, AUM was reduced by $500 million relating to the sale of three public market funds to New York Life Investments that were sub-advised by PineStone and $400 million was due to income distributions by private market funds.  Of the $7.5 billion of negative organic growth in the PineStone sub-advised mandates, $3.9 billion related to AUM transferred directly to PineStone, while $2.6 billion related to lost mandates where clients exited these strategies. The remaining $1 billion related to negative net contributions from clients rebalancing their portfolios to reduce their allocation to these strategies.  I want to emphasize that the $2.6 billion in lost mandates and $1 billion in rebalancing will add nothing to do with the arrangement that we have with PineStone. Rather, it is normal course business activity due to the uncertain economic outlook and clients' appetite for global equity exposure.  Of the $7.5 billion of outflows connected to AUM sub-advised by PineStone, $2.2 billion related to National Bank investments, of which approximately $1 billion was transferred directly to PineStone and the balance to other third-party managers. National Bank is also expected to withdraw its remaining $5.6 billion in assets under management sub-advised by PineStone by late 2024, early 2025. Going forward, excluding the AUM outflows related to National Bank, management continues to expect the AUM reduction from lost mandates transferring directly to PineStone to be in the range of $1 billion to $3 billion per year, which is to be more than made up by the growth in market value and new flows on the retained PineStone mandates.  Also, on a year-to-date basis, the public market platform ex-PineStone has shown an increase of $600 million in AUM with $2.5 billion in new mandates across equity and fixed income strategies and positive market performance partially offset by outflows. In particular, our Atlas Global Equity team has generated $300 million in net organic growth on a year-to-date basis and is experiencing significant momentum into the fourth quarter.  Lastly, we are pleased to see an improvement in our average fee margin as although year-over-year average assets under management are lower by $1 billion, the amount of base management fees earned on the AUM has increased.  I will now turn to our commercial and investment performance across our platforms in the third quarter. Starting with our public market platform, the public market platform excluding AUM sub-advised by PineStone experienced a muted negative organic growth of $400 million in the quarter, largely due to rebalancing of cash positions by institutional clients, of which a portion was reallocated into equities.  We often see large movements in cash accounts from one quarter to the next as these accounts are subject to the normal treasury activities of certain clients. Our equities platform saw positive organic growth of $600 million in the quarter with inflows across our key strategies, including Canadian, U.S. equities, emerging markets and Atlas Global Equity strategy.  Lastly, we are already seeing the benefits of our decision to regionalize our distribution model in Europe, Asia and USA with the regions seeing positive organic growth in the quarter, and we expect this momentum to continue in the coming years.  Turning to investment performance in public markets for the quarter, in equities it was a difficult quarter for most developed market strategies as equity market gains evaporated in September. The majority lagged their benchmarks, except for the U.S. SMid Cap Growth strategy, which maintained its sustained outperformance in the quarter. As a testament to this strong investment performance, New York Life Investments allocated $315 million to the strategy over the quarter as part of our new distribution arrangement with New York Life.  The Emerging Markets Select and Frontier Markets strategies continued to excel in the third quarter, generating in excess of 400 basis points of outperformance relative to their benchmarks. With regards to the Frontier Market strategy, its significant outperformance is tracking well for its ability to generate significant performance fees by year-end. Over the long term, 97% of our assets under management invested in equity strategies outperformed their benchmark.  Fixed income markets continue to generate negative returns in the third quarter of 2023, which were further aggravated by a significant steepening in the yield curve. Although the majority of Canadian fixed income indices were down, most of Fiera's strategies were able to generate positive relative results through efficient sector allocation and duration positioning.  Fiera's foreign fixed income strategies saw mixed results, with the standout being the global multi-sector income strategy, which generated significant outperformance of close to 200 basis points due to strong selection of foreign corporate bonds.  Overall, we continue to be amongst the leaders in the industry in terms of investment performance over the long term, with 92% of our AUM invested in fixed income strategies, outperforming their benchmarks over a five-year horizon. Now, turning to our private markets platform. The expectation of an economic downturn has made for a more challenging capital raising environment, as many investors select to overweight cash as they evaluate the macroeconomic landscape. This has resulted in a more muted quarter for our private markets platform, which saw new mandates of $200 million in the quarter, for a total of $1.8 billion in new subscriptions generated year-to-date.  Negative contributions consisted essentially of return of capital to clients. We converted $500 million of capital from committed to deployed in the current quarter. We also maintain a good pipeline of $1.5 billion available for deployment into future opportunities.  With respect to investment performance for private markets in the third quarter, in real estate, the underlying fundamentals continue to demonstrate remarkably consistent stability, particularly in the industrial and residential sectors, providing offsetting valuation protection against rising capitalization rates.  The Canadian Industrial Fund continues to generate best-in-class performance, despite the challenged environment, with an absolute return of 1.28% in the quarter.  In infrastructure, the strategy saw a return to positive performance for the quarter. The strategy continues to focus on its platform approach, which can provide significant and attractive deployment opportunities that are often in less competitive sectors, accretive and leverage existing expertise.  This, as demonstrated in the current quarter, as a follow-on investment, was closed within an existing platform, while integrating the newest solar energy platform into the portfolio. This platform will play a meaningful role in the continued commitment to support energy transition across core markets. Our private credit strategies continue to generate strong returns, despite the tough economic backdrop. The overall outlook for the strategies remains optimistic, while being fully aware of the various systematic and non-systematic risks that could arise from the current economic landscape. The private credit team continues to put emphasis on testing leverage and debt servicing capacity of existing investments, and to focus on identifying opportunities for investment in resilient businesses backed by experienced sponsors. Lastly, the Global Agriculture Fund signed two new deals in the quarter worth US$290 million, including Grove Juice in Australia and Innoliva in Portugal and Spain. Innoliva is one of the largest producers of premium organic olive oil globally. It will represent the strategy's 10th partnership, an additional geography, and a 15th major commodity.  Moving on to private wealth. We saw marginal negative organic growth in private wealth and public market strategies in the third quarter, as a number of high network clients temporarily reallocated to GICs, with the expectation that these flows will return once interest rates subside.  Despite a small reduction in AUM, we have seen an increase in base management fees this quarter compared to the second quarter of 2023. This is in part reflective of the pricing increase related to private wealth clients. We implemented an additional fee for private wealth clients invested in public market pool fund and segregated accounts, as well as private markets funds. This process will be implemented in a phased approach, with the first phase having become effective September 1st, following communication to clients, informing them of the change in June 2023. The last phase will be completed in the fourth quarter of this year. We foresee this to be revenue and margin accretive going forward.  The new pricing is reflective of the value chain of activity that private wealth clients are receiving, which includes advice, access to private market funds, and the uniqueness of our asset allocation capabilities through our Fiera fund structures. Our tactical asset allocation offering remains a key differentiator for our private wealth clients, providing agile solutions in a rapidly changing economic environment.  This quarter, the strategy added value as its defensive stance with its underweight position in equities and fixed income limited its exposure to the market volatility experienced in September. On a three-year historical return basis, our tactical asset allocation calls have added 2.45% of enhanced total fund return to our clients.  With that, I will turn it over to Lucas for a review of our financial performance. 
Lucas Pontillo : Thank you, Jean-Guy. Good morning, everyone. I will now review the financial results for the third quarter of 2023 compared to the third quarter of 2022. Starting with revenues, across our investment platforms, we generated total revenues of $159 million in the current quarter, in line with Q3 of the prior year.  Base management fees rose by $2 million, as higher private market base management fees more than offset the decrease in public market base management fees. This further confirms the resilience of our business due to our diversified investment offering. Performance fees were also marginally up on a year-over-year basis.  The increase in base management fees and performance fees were offset by lower commitment and transaction fees, and a reduction in share of earnings in joint ventures and associates in our private markets division. We also saw an increase in other revenue of $2 million, which was primarily due to the increase in interest earned on cash, as well as the implementation of the revised fee structure in our Canadian private wealth platform that Jean-Guy described.  Looking more closely at private markets revenues for the quarter, base management fees increased by $6 million over the same period last year, driven largely from institutional clients in Canada, Europe and Asia, investing in our real estate, agriculture and infrastructure strategies.  In addition, we reported close to $2 million of performance fees, up on a year-over-year basis. This was offset by lower commitment and transaction fees of $4 million from a smaller volume of deals earning fees, and similar reduction in earnings from joint ventures due to the timing of revenue recognition from real estate projects in our UK platform.  The trend of the private market division contributing to a growing proportion of Fiera Capital's total revenue continues, accounting for just over 31% of our year-to-date revenues at the end of the third quarter of 2023, compared to 29% for the same period prior year.  Turning to a review of public market revenues, compared to the third quarter of 2022, public market revenues decreased slightly to about $103 million in the current quarter, due to the reduction in average assets under management for the quarter. Higher performance fees of about $1 million were also generated from our emerging markets team in Europe.  With regards to SG&A, SG&A excluding share-based compensation totaled approximately $115 million in the third quarter. On a quarter-over-quarter basis, SG&A was relatively flat, while actually down slightly on a year-over-year basis, as management continues to prudently manage expenses despite the inflationary environment for compensation and vendor costs.  Turning to adjusted EBITDA and adjusted EBITDA margin, we generated adjusted EBITDA of $43.9 million in the current quarter, and an associated margin of 27.7%, in line with the Q3, 2022 and slightly ahead of the 27.4% achieved on a year-to-date, on an LTM basis.  Looking at net earnings and adjusted net earnings, the company recognized net earnings attributed to shareholders of $11.1 million or $0.09 per diluted share, during the third quarter of 2023, compared to net earnings of $8.7 million in the corresponding period of 2022. Adjusted net earnings for Q3, 2023 were $23.7 million or $0.22 per diluted share, in line with Q3, 2022. On a trailing 12-month basis, adjusted EPS was $0.97 per share. With respect to free cash flow, last 12-month free cash flow was $98 million for the third quarter of 2023, an improvement of $53 million over the prior quarter, and $6 million over the prior year. The increase was attributable to cash generated from operating activities in Q3 2023.  We are pleased to see the significant improvement in our last 12-month free cash flow, and is trending according to our previously communicated expectations that LTM free cash flow would normalize by the end of 2023, after significant non-recurring outflows in 2022 caused a drag. We remain on track to achieve a last 12-month free cash flow close to the last 12-month dividends paid by year-end.  Turning to financial leverage, net debt decreased by about $40 million quarter-over-quarter, to $624 million, as free cash flow was used towards a debt repayment. Our funded debt, the 504 as defined by our credit facility agreement, was higher compared to the prior year, largely due to the change in mix between our hybrid debentures and credit facility in our overall capital structure. As such, our net debt ratio decreased from 3.6x in Q2 of this year to 3.45x this quarter.  We remain steadfast in our commitment to providing value to our shareholders. As such, I confirm that the Board has declared a quarterly dividend of $0.215 per share, payable to holders of record on November 20, 2023. This maintains our trailing 12-month dividends of $0.86 per share over the last six quarters.  I'll now turn the call back to Jean-Guy for his closing remarks. 
Jean-Guy Desjardins: Thank you, Lucas. So, heading into 2024, we are optimistic for future growth in gross sales, coming from our new regional distribution leadership and highly competitive investment platforms, even against what we believe will continue to be a challenging macroeconomic and financial market backdrop.  The prospect for both inflation and interest rates to remain elevated for a prolonged period have shifted the macroeconomic outlook towards a stagflationary outcome for the economy over the next 12 months.  While the good news is that central banks are likely to abandon their monetary policy tightening campaign at levels that avoid an outright recession, growth is nonetheless expected to stagnate to below trend levels as the environment of higher for longer interest rates take their toll on the economy. In an environment of elevated inflation that comes up against a backdrop of stagnating growth, warrants a defensive stance from an asset allocation perspective.  So, I will now turn the call back to the operator for the question period. 
Operator: Thank you. [Operator Instructions]. Your first question comes from Nik Priebe with CIBC. Please go ahead. 
Nik Priebe : Yeah, okay. Thanks for the question. I just wanted to drill into the PineStone flows in a bit greater depth here. I was wondering if you could give us a sense of roughly what management fee rate would be attached to the assets that are expected to be redeemed from National Bank. 
A - Jean-Guy Desjardins: We don't disclose that. There's a fair range in terms of depending on the strategy sub-advised as well as the platforms they are on. However, I can say that the financial intermediary channel where we're seeing a lot of the outflows, traditionally has been a lower fee channel for us given the higher AUM volumes associated. 
Nik Priebe : Understood, okay. And then just a point of clarification on the timing of that activity as well. I'm just wondering why those outflows would be expected late next year or early 2025. Is the timing there related to the annual contractual cap on leakage that you've discussed in the past? 
Jean-Guy Desjardins: No, it's related more to effectively how they can just reallocate assets on the platform. So for the moment, based on the expectation of the 5.6 that we mentioned, we're working with an assumption of about $800 million per quarter, and that should take you out to Q2, 2025.  It could be a little quicker, it could be a little slower, but at the end of the day, this is the assumption we're working on. And as I say, it has to do more with just the ability to rebalance those portfolios on the other side. 
Nik Priebe : Understood, okay. And then one last quick one here for me. Can you just update us on how close PineStone might be to that contractual cap on redemptions for the year, just through Q3? But should we expect a bit more leakage in Q4 here? 
Jean-Guy Desjardins: There'll be some additional leakage in Q4, but as we've highlighted going forward, it's actually within our expectations and within the guidance we've already provided for annual leakage. 
Nik Priebe : Okay. All right. Fair enough. I'll pass the line. Thank you. 
Operator: Your next question comes from Etienne Ricard with BMO. Please go ahead. 
Etienne Ricard : Thank you, and good morning. Considering the significant amount of capital sitting on the sidelines today, I would like to hear your perspective on what needs to happen from a macro standpoint for capital to come back in fixed income as well as equities. And until that happens, how is Fiera positioning itself to benefit from this potential upside? 
Lucas Pontillo:  Yeah, I think what's required for this market environment to turn around and I'd say initiate a new growth cycle is what's required for Central Banks to be at a point in time where the probability will be very high, that they're going to start moving from the current level of interest rates where the degree of restrictiveness right now, looking at real rate is about 2%. The neutral rate is somewhere around 3.5%.  So only when the environment will be conducive to have a high probability that central bank monetary policies will be moving to a neutral rate, okay. And that will turn markets around and obviously improve expectations about the outlook for the economy.  Now, this is all predicated on how inflation will evolve. The long-term inflation expectations hopefully will stay well anchored. You have to pray for that. And it's been very well and very stable, well anchored and very stable in the last few years. There's no reason to believe it will not stay there, but there's a risk that it may start going up.  But assuming that long-term inflation expectations will stay well anchored, it's all about what the core inflation will be over the next few quarters. We don't think that core inflation will be moving – in our high probability scenario, will be moving towards the 2% target in the course of the next four or five quarters. So it's going to be a prolonged period of stagnation, where you will see gradually over the next couple of years, inflation, core inflation slowly moving towards that 2% target as growth is below potential and the supply-demand relationship, the famous output gap moves to a negative stance and puts pressure on prices. So that will take, we think, the next six, seven, eight quarters to get there and to get to the 2% target, okay.  So we think that there is a probability that somewhere towards late 2024, late third quarter, fourth quarter of next year, that as inflation moves from that 3.5% core level, which we're stuck at right now, moves to the 3%, 2.8% level, that markets will start discounting the prospect that within the following six, nine months, that inflation will continue to move in the direction of the 2% target and start anticipating a change in direction by Central Banks and anticipate the move towards the neutral rate of 3.5%.  So it's possible and not necessarily probable yet, but possible that we could see the general market psychology and environment start shifting towards the second half, maybe late second half of 2024 if this type of scenario does materialize in the next five, six quarters.  So that's our highest probability scenario. There's always the risk that the economy may slide into a shallow recession. Okay, it's possible. It's not the highest probability scenario we have, but it's a possibility. And if that happens, everything turns more negative than what our stagflation scenario indicates right now. 
Jean Michel: Yeah, if I can add on, I guess the second part of the question is, what do we do to take advantage of that, the data? I think the first part of the question is, we probably lost $3 billion to $4 billion over the last two years in this rebalancing effect of people exiting the equity markets, which we believe is going to come back the day the sentiment becomes more positive. So there's not much to do, like it's just going to happen.  And then the second part is on the new mandate side, we believe we're just well positioned. I think all our products are showing very great results over the last four or five years. I think we're well positioned there to take advantage of that. And our distribution group gets more well organized today than they were a year ago. So we should take our share of human data as the data market turns. 
Etienne Ricard : Great, thank you for the detailed answers. On the topic of capital allocation, I want to raise the debate of dividends and stock repurchases. So I understand Fiera established a track record for growing and sustaining the dividend. Now, in recent months, the stock prices come under significant pressure, such that potential stock repurchases could now be done at record low valuations. So with that in mind, what considerations go into the dividend relative to stock buyback debate? 
Jean-Guy Desjardins: That's a great question, Etienne. Thank you very much for asking it. I'd say first and foremost, the priority remains the maintenance of our dividend. Absolutely, it's a very interesting debate to have right now, particularly given where our share price has gone in the last couple of months, particularly where management feels it's significantly undervalued and the market overreacted.  So from that perspective, we did file our NCIB earlier this year as well. So that will permit us to buy 2 million of shares in the market on a normal course basis. And at this point, to that point exactly, we're evaluating the capital allocation – sorry, correct that, 4 million shares that we can purchase under the NCIB. We will evaluate the excess capital and the excess free cash flow that we have in relative to that.  So I want to reiterate the point again about, I think there's been concern in the market about the free cash flow coverage of the dividend. Hopefully, as the trend in free cash flow has been proving out what we've been saying for the last few quarters, that should help alleviate those concerns. And then I think the second part of your question is to the extent we have additional excess free capital, that could certainly be deployed towards a buyback. 
Etienne Ricard : But to the extent the payout normalizes below 100%, let's say by early next year, would you expect to be active buying back stock? 
Jean-Guy Desjardins: Again, depending on it, as we say, we filed our NCIB for 4 million shares and fully with the intent of being able to act upon it at the right time and within the right circumstances. 
Etienne Ricard : Great. Thank you very much. 
Operator: Your next question comes from Graham Ryding with TD Securities. Please go ahead. 
Graham Ryding : Hi, good morning. Just going back to the National Bank indication that they are going to redeem some PineStone related AUM. Did they give a reason why they are redeeming this AUM? And is that all of their PineStone AUM or is there more beyond the $5.6 billion that's with you? 
Jean-Guy Desjardins: Yeah, thank you for that, and happy to provide further clarity on that. So the first point is, as we've mentioned in the past, with regards to financial intermediaries, there tends to be more of a preference to go directly and that their structures really don't permit for a sub-advisor on sub-advisor type structure. So we've seen that with National Bank and some of the other financial intermediaries that we deal with. So that's the first and foremost reason.  Relative to in terms of the entirety of it, yes. So that's that $5.6 billion that remains is entirely the balance that remains in the PineStone mandates. It's not clear to us at this point whether all of that or some of that will be going directly to PineStone. They have relocated some of the assets to other managers, as we mentioned. But as far as impacts to us, again, we're working on the assumption at this point that will be about $800 million per quarter of outflows, which would effectively exhaust that $5.6 billion by Q2 of 2025. 
Graham Ryding : Okay, understood. That's helpful. So it looks like you have about $45 billion of PineStone AUM currently. How much of that would be within that financial intermediary channel? And is that where you're sort of estimating the $1.3 billion – $1 billion to $3 billion of outflows per year? Is it largely stemming from that channel? 
Jean-Guy Desjardins: Yeah, I wouldn't say largely stemming from that channel. But again, that number is more in line with our expectations and the arrangement that we have. And you'll find new disclosures in our MD&A this quarter where we've actually broken it out by channel. So again, as I say, it's not entirely from that channel in terms of our expectations. Our expectations are more in line with the overall arrangement that we have in place. 
Graham Ryding : Okay. So the $45 billion, how much of that would be within the financial intermediary channel today? 
Jean-Guy Desjardins: I think it's about, just off the top of my head, somewhere between $6 billion to $8 billion. 
Graham Ryding : And then why are you forecasting $1 billion to $3 billion in outflows per year when I think year-to-date we've seen outflows a lot higher than that? I think it's $7.5 billion year-to-date from PineStone related.
Jean-Guy Desjardins: No. But so the $1 billion to $3 billion is in excess of the PineStone, right. So the comment is once you normalize for the National Bank outflows, okay, so call it another two point something billion in 2024, north of that you'd have an additional $1 billion to $3 billion that would impact the flows going out.  And to your point about the outflows experienced during the year, I do want to come back to and highlight a point that Jean-Guy made. We need to distinguish between the amounts that are being transferred directly to PineStone, okay, or as the leakage as we refer to it, versus portions of the mandates which are just being lost for no other reason than clients are either rebalancing or exiting global equity altogether.  And so I come back to those numbers that you mentioned in terms of on a year-to-date basis and where the outflows stand. We've seen $1 billion leak out of net contributions. So those are existing clients, clients that could have $500 million, $600 million mandates for us who have simply trimmed their allocation by 10% and that's caused the $50 million in leakage on that one client. And so that explains $1 billion of that.  And I think that goes back to the comment that was addressed earlier by Jean as well, which is as markets turn and people become more favorable again to equities, there's no reason not to expect that those flows would come back into the strategies. In fact, we've seen a couple of clients already this year rebalance upwards relative to down rebalancing that they put through in 2022. The second part of that is that loss of an additional $2.8 million, which has not transferred to PineStone, and those again are just outright losses where clients have decided to exit global equity, eFee [ph] or U.S. equity as part of their overall platform rebalancing. So those outflows are frankly not something that we sort of try to put assumptions around or try to model, and those amounts are not included in the expectation that we give of the additional one to three. The additional one to three above National Bank refers strictly to what our expectation is for direct transfers or leakage as I say and not normal course business reallocations. 
Graham Ryding : Okay. That's helpful. I appreciate the color. Thank you. 
Operator: Your next question comes from Gary Ho with Desjardins Bank. Please go ahead. 
Gary Ho: Thanks and good morning. Lucas, just that last point that you talked about, your strategies continue to outperform. I'm actually quite a bit surprised that to your last comment, those rebalances from those portfolios, you weren't able to recapture those assets into some of your other strategies. Can you elaborate on why that is? 
A - Jean-Guy Desjardins: Well, but the rebalancing Gary are not – I come back to the man – the mandates are still with the client, right. So this is just their lowering of allocations to the strategy in particular. In many cases, it's actually going to cash that's sitting on the sidelines. So that's, again, that's part of what's driving that portion of the net contributions. 
Gary Ho: Got it. Okay. And then, sorry, I jumped on the call late. Maybe this was discussed. Just on the performance fees, I think it was mentioned the emerging frontier strategy, that's earning performance fees this upcoming quarter. Just remind me, is that the one that has EUR170 million in AUM? And if not, can you provide an update on where that AUM is and performance on a year-to-date basis versus that high watermark? If I remember correctly, I think this is the one with 20% performance fees and no hurdle. Is that right? 
Lucas Pontillo: Yeah, that's the one. And I'm trying to look on my sheet to find the exact asset allocation, but you were right on the ballpark of EUR170 million. And you're right, there’s a 20% performance fee. And if you just look, we don't have the exact numbers, and obviously those numbers will change before year-end. But just the year-to-date performance for that fund is 23% total return with an added value of 21%. So, just gives you an indication of, I guess, we're in good shape on that front. 
Gary Ho: Yeah, I think I was also reading the fact sheet, but if I remember correctly, this is the one that with a high watermark, right. And last year you had a poor performance. So, I should really look at… 
A - Lucas Pontillo: No, no, no. Last year, had a positive performance also. Like we – we got positive…
Jean-Guy Desjardins: It wasn't as excessive as it was in 2021, but it was still positive last year. 
Gary Ho: Okay. And then maybe just more broadly, performance fees outlook. I know we still have a month and a half to go. Any way to kind of help us with what that looks like for Q4? 
A - Jean-Guy Desjardins: Again Gary, I can make the point that at this stage we're trending well relative to last year in particular, but there's two months to the year to go. And frankly, we saw just the volatility towards the end of September and early October and how that can impact those returns. So as I say, for the moment, trending better than we were last year, but as I say, there's two months left to go in the year, so.
Lucas Pontillo: It's going to be highly correlated to market performance. 
Gary Ho: Okay. Got it. And then Lucas, while I have you here, historically you've targeted 30% adjusted EBITDA margin. Just wondering, high level, is that still realistic? Maybe timing to get there or certain AUM level before you need to hit that target? 
Jean-Guy Desjardins: No, that's still a target that we're operating with. To your point, I think as we continue to build out this global distribution model on a regional level, there might be some timing in terms of redeployment of some resources there, but that's certainly still the margin that we're targeting. 
Gary Ho: Got it. Okay. If I can sneak one more in, just on the Clearwater, I think the next earn out is next year, I believe. Maybe just give us the timing of it. And is the thinking right now, the earn out will be settled in stock? Just curious if that could trigger the LP ownership dropping below that 20%. Maybe just update on that. 
Jean-Guy Desjardins: Sure. So, I'll unpack. There's quite a few questions in that third one that you sneaked in Gary. I'll say that its – the timing wise for that is expected to be Q2 of next year, Q3. So I believe it's early summer. So actually we would fall into Q3. The expectation would be to do it in cash, at this point given where the share price is, that's fairly dilutive, so do it in cash. And no, that would not be significant enough to cause any issues in the LP. 
Gary Ho: Okay. Got it. Thanks for that. 
Operator: Your next question comes from Jaeme Gloyn with National Bank. Please go ahead. 
Jaeme Gloyn: Yeah, thanks. On the PineStone, thank you for the color so far on the National Bank and otherwise. I'm curious if there are other financial intermediaries like National Bank of similar size that could also come to a decision in the same way that National Bank has to reallocate a large portion or all of their AUM elsewhere. That would be above your $1 billion to $3 billion, let's say, run rate annual leakage expectations. 
Jean-Guy Desjardins: No, we don't have any financial intermediary partners that would have that type of AUM level. So again, they'd be one-off mandates with a couple more in the U.S., one of which we've already seen exit this year. So the short answer is, no. 
Lucas Pontillo: If I can clarify a little bit on that about National Bank, just to give you as much as possible a clear picture on that. No, we were just coming out of a 10-year firm contract with National Bank following the acquisition of NatCan. And our position in the National Bank third-party manager book was very significant as a result of that.  And I think in addition to the explanation that Lucas gave about their decision to move those assets, which is the right argument, another factor was the fact that I think they were more comfortable with Fiera representing a smaller share of their total third-party manager book than the position we had at the end of that 10-year contract and that had an influence.  We do not have other third-party managers that are conditioned by those two characteristics, okay. One being, this sort of technical constraint of advisor-to-advisor, and the fact that we would represent a large percentage of their third party – their book for third-party managers. So we don't have the same risk exposure that we had with National Bank.  And we also had the technical advisor-to-advisor issue. We also had with Russell in FCI, which basically we had to digest the impact of the transfer of their assets earlier this year. So, those three were the ones where that issue was present. So we don't expect to have the same, I'd say, issues with other third-party clients, third-party or platform clients that we have. 
Jean-Guy Desjardins: And again, I want to just reiterate, because we're trying to be as transparent as possible on this, to give you all as much color and flavor. I come back to on a year-to-date basis, if you actually break down what's happened with that book into three buckets, which would actually be the amounts transferred to StonePine, the amounts that are just lost to both of us, because I come back to whether they'd be rebalancing or clients exiting the strategy, and the market impact.  Well, on a year-to-date basis for us, if you ignore the fact of the assets that have been lost, so that $3.7 billion that's either rebalancing or clients going elsewhere altogether, the assets transferred to PineStone of $3.9 billion, almost equate exactly to the market return we've received on those assets of $3.7 billion. So this just comes back to the notion that the whole entire spirit under the agreement was to effectively have market compensate for the leakage that goes directly to PineStone.  Now obviously, it's going to be lumpy between one quarter to another, but over time and on average, that's the pattern that we expect to see play out. 
Jaeme Gloyn: Okay. Understood. Shifting to the free cash flow outlook, it looks like working capital, favorable working capital was a big driver this quarter. And as we kind of look forward into the next 12 months, we wouldn't expect that to be a big driver necessarily. But I guess what gives you confidence in generating, let's say, close to the $98 million that you did this year over the next four quarters? Yeah, let's just go. 
Jean-Guy Desjardins: Yeah. So, just to be clear, the comfort level is more with closer to the dividend level, sort of high 80’s. So that's the, sort of the expectation for the next four quarters. And what I'll say is two things.  The operating cash flow before working cap continues to trend in the right direction. We need to keep in mind, and I'll reiterate, we had three successive quarters in 2022, where we had significant one-time outflows that impacted the LTM number. So, just by virtue of those three items falling off in 2023, you won't have that recurring in the LTM number going forward. So, that's the first piece.  Second piece, our working cap adjustment, if you want to have a look at that, we're fairly consistent in the fourth quarter, where we usually come in with about anywhere from mid-30’s to mid-40’s of negative working capital drag. Again, so you can – it's pretty transparent from our perspective in terms of what a full year cycle looks like by the time you get to December 31st, and those are the assumptions we continue to work with. 
Jaeme Gloyn: Okay. And lastly, just on a debt and looking at funded debt increases, maybe you can detail what's driving the increase in debt over the past year, which has increased over the last couple of quarters a little bit more materially. And then as a leverage ratio at 3x, still below the 3.5x covenant, if I understand that correctly still. Is there any strategies or plans you're taking to look to lower that in the near term? 
Jean-Guy Desjardins: Yeah. So, I'll actually point you to the net debt, so total debt net cash. And actually over the last 12 months, so if you compare to Q3, 2022 compared to this quarter, we're actually down slightly. Okay, we'll say we're flat, but we used to be at $632 million from a net debt perspective in Q3, 2022. And we're now down to $628 million. So it's actually slightly down, I'll call it flat year-over-year.  What's changing actually is the mix, okay. And it was a concerted effort to change the mix between how much is allocated to our public instruments, so the hybrids, relative to the line of credit or the facility. So what you're seeing is – what you're referring to in terms of the increase, is actually the increase on the facility. And part of that has simply been is that we actually enjoy a more favorable cost of capital on our facility, between hedges that we have in place and between the variable nature of that cost of interest, compared to when we went to market and had to issue the new hybrid.  So as a result, rather than when we took out the $110 million of expiring debt, rather than refinancing that with $110 million of more expensive, longer-term debt, we actually only chose to refinance a portion of that, which was $65 million, and put the balance on the facility at more advantageous interest costs. And expectations that rates would obviously decrease over time. And as such, even the $65 million that we took on, you can tell we've taken on for a much shorter duration of three years, as opposed to the five-year that we would normally go out on the curve. 
Jaeme Gloyn: Okay. Thank you. 
Operator: [Operator Instructions] There are no further questions at this time. Ms. Guay, I will now turn the call back over to you. 
Marie-France Guay: Thank you. This concludes today's call. For more information, do not hesitate to take advantage of our website at ir.fieracapital.com, and thank you for joining us today. Merci.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.